Operator: Good morning ladies and gentlemen, and welcome to Sigma Lithium’s 2025 first quarter earnings conference call. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the conference presentation. There will be a replay for this call on the company’s website. After the prepared remarks, there will be a Q&A session for participants. At that time, further instructions will be provided. I would now like to turn the conference over to Irina Axenova, Vice President of Investor Relations. Please go ahead.
Irina Axenova: Good morning. Thank you all for joining us for Sigma Lithium’s first quarter 2025 earnings conference call. Speaking on today’s call will be Ana Cabral, our co-Chairperson and Chief Executive Officer. I will also be stepping in for Rogério to cover the financial highlights for the quarter. Before we begin, I’d like to remind everyone that this call is being recorded and webcast live. Today’s presentation includes forward-looking statements and non-GAAP financial measures. These statements reflect our current expectations but involve risks and uncertainties that could cause actual results to differ materially. For further information, please refer to the cautionary statements in our presentation and our public filings with Canadian and U.S. regulators. All of these materials are available on our website. With that, I will now turn the call over to our Chief Executive Officer, Ana Cabral. Ana, please go ahead.
Ana Cabral: Good morning. I’m very pleased to present you with our first quarter 2025 results. Over the last two years, we have transformed Sigma from an emerging producer to a leading global lithium company. Our core strategic advantage is our resilience to lithium price cycles. Our competitive advantage is a direct result of operational efficiency that drives the way we run our business because we focus on the elements that we can control, mainly continuously lowering our production costs. We would like here, then, to outline our competitive advantages to start this presentation. First, we’re strategically well positioned. We industrialize lithium oxide concentrate, which has higher margins than refining. Our plant and our mine are located in Brazil in an established industrial and mining jurisdiction with strong rule of law. Second, we are resilient to lithium market price cycles. We are a low cost producer on an all-in sustaining cost basis. Third, we achieved operational efficiency at scale on all fronts. We have perfected [indiscernible] knowledge into an unprecedented 70% recovery levels at plant that mimics floatation. We have also achieved over 700 days with zero accidents with lost time. Four, we have been rewarded with US $100 million in a heavily subsidized government debt from our development bank, 16 years of term at 2.5% fixed cost in U.S. dollars, because we deliver shared prosperity to one of the poorest regions in the country. As a result, we also earned our social license that determines that basically we receive environmental permits repeatedly achieved on schedule. I want to highlight also that 100% of our production is uncommitted, which brings the potential to receive prepayments from signing offtake agreements with clients. This is a very standard financing practice in the mining industry and is an untapped funding source that’s readily available to us from clients seeking resilient suppliers at this very moment in the lithium price cycle. On this page, in this quarter we want to highlight that we increased the overall resilience of our business. Our key accomplishments were: first, we delivered production volumes on target at 68,300 tons. This demonstrates the operational efficiency of the Greentech industrial plant. Secondly, we delivered all-in sustaining costs, outperforming our targets by 6%. We are now at $622 a ton. This is the quantification of our resilience, and these costs are amongst the lowest in the industry. They’re lower than African spodumene operations either ethically produced, like us, or not, so we beat the competition. Thirdly, we generated positive cash flow from operations which translates into this operational resilience, because we make money per ton of lithium concentrate produced, therefore we are easily able to repay some of the more expensive, shorter ton duration trade financing debt. On this page, we have charts that demonstrate numerically the points I just made earlier. We outperformed 2025 targets across the board. When we compare our results versus a year ago, the numbers just showcase how Sigma progressed exponentially. Our EBITDA in the first quarter this year increased 3.5 times from last year, 223%. Our sales were up just 17%, so the magnitude of the EBITDA increase versus sales provides just how cost efficient we became. Comparing results on a quarter-over-quarter, we demonstrate this continuous positive trajectory of our profitability. Our EBITDA has increased 3% while our sales decreased, so this is resilience quantified. Here we demonstrate the operational performance slightly beating the quarterly production guidance for 2025, and again it demonstrates that after the structural upgrades, our Greentech plant achieved continuous cadence at an increased level of performance. This page also highlights a crucial point I made earlier. It quantifies indirectly the amount of prepayment Sigma can receive from clients by signing offtake agreements to supply lithium. This is an untapped funding source and is readily available in the current market environment because lithium demand is robust, so we have clients seeking to secure certainty of supply, but only from producers with low all-in costs which can withstand the low point of the lithium price cycle. Our production is 100% uncommitted, so we can comfortably sign up to three offtake agreements at current market prices and still have 30,000 tons of production remaining to just validate the market pricing of these offtakes, which is a very sound financing strategy. Here, we demonstrate our low cost across the board at plant gate, at CIF, and our all-in sustaining costs. This culminates with a 20% annual decrease of our all-in sustaining costs across the last year. These low costs underscore the resilience of our business. A year ago, we already were one of the lowest cost producers globally of lithium oxide concentrate, and over the last year, we continued to improve and further lower our costs across the board and reach this 20% decrease from last year first quarter. On this page, we have the lithium cost curve, so here we demonstrate our leading position in the global lithium industry. Sigma actually delivered what we call the holy trinity of lithium production: large scale, low costs, traceable and ethically produced lithium materials. This page is from Benchmark Minerals--it’s sourced from Benchmark, and it shows the global cost curve of producers of lithium oxide concentrate from mining. Here, we demonstrate our leading position in the global lithium industry. Sigma delivered the holy trinity of lithium production. We deliver at large scale, we deliver low costs, and we deliver ethically and traceable lithium materials. It underscores our cost efficiency because we are lower cost than the African miners shown in pink just to our right on the page. The only company in our industry that has lower costs than Sigma is Greenbushes Talison, but they have five times our scale, so it’s achievable to get there. Here is a breakdown of our all-in sustaining costs, which this quarter reached $622 per ton. It shows how we outperformed the 2025 target by 6%. First, our operational efficiency this quarter enabled us to lower the maintenance capex of our plant. Our SG&A will reach target irrespectively as we increase production volumes. We have also been actively decreasing financing expenses by using part of our cash generation to repay expensive short term financing debt, as we just discussed earlier. We’re very proud of this page because it shows how we achieved over 700 consecutive days without accidents with lost time. It means a lot to us because we’re sending our employees safely back home to their families every day. Our team is very proud of this because it demonstrates how we rose to the challenge of the battery materials industry of delivering at the same time low cost product without putting our people at risk and using shortcuts on health and safety. We have one of the best safety records amongst all ICMM companies in the global metals and mining industry. We have reached this level of safety excellence as a result of robust processes, a culture of ownership amongst our team because they think about protecting themselves but also protecting their colleagues all the time. Here, we talk about our Greentech production plant. We’ve mastered the dense media technology for producing lithium oxide. We have been recurringly achieving unprecedented recovery levels for this technology - it’s over 70% of plant level, and the global recoveries have been consistently well into the 60%. This recovery achieved in our Greentech plant is a result from the constant implementation of innovation and improvements, and it culminated with us implementing in the fourth quarter the recycling circuit for the lithium tailings, where we reprocess the lithium oxide in the tailings and convert it into high grade product so it increases the mass of our product, so we achieve higher production volumes through recycling the dry stack tailings. Now I’m going to head over to my colleague and partner, Irina Axenova - she’s the Vice President of Investor Relations at Sigma, and she’s going to go through our financial performance this quarter in detail.
Irina Axenova: Thank you Ana. Let’s now take a look at our financial performance for the first quarter of 2025. We reported $48 million in revenue, representing a 28% increase year-over-year driven by higher sales volumes and disciplined execution across the operation. Cost of sales came in at $34 million, reflecting a 19% increase year-over-year driven by higher production volumes, partially offset by lower operating costs. As a result, we delivered solid cash gross margin of 35%, highlighting the continued efficiency of our operations and our strong low cost position. EBITDA for the quarter was $10 million, and when adjusted for non-cash stock-based compensation, adjusted EBITDA reached $11 million, a substantial increase compared to the same period last year. This translated into strong EBITDA and adjusted EBITDA margins of 21% and 24% respectively, underscoring our scalable and profitable business model. We ended the quarter with a cash position of $31 million, which I will cover in more detail shortly. Finally, we reported our first net income of nearly $5 million or $0.04 per share. These results reflect our ongoing progress in increasing production, maintaining cost discipline, and achieving strong financial performance. The next slide shows how a strong execution translated into solid margins this quarter. With $48 million in net revenue and cost of sales of $34 million, Sigma generated $17 million in cash gross profit, resulting in a cash gross margin of 35%. Reported EBITDA for the first quarter was $10 million and, when adjusted for non-cash stock-based compensation, adjusted EBITDA surpassed $11 million, reflecting a strong adjusted EBITDA margin of 24%. During the quarter, we also continued our work on reducing short term debt by reducing trade finance balance by 15% from $60 million to just over $50 million, while our interest per ton reduced further to $17. Looking ahead, we expect further reduction in interest cost per ton as we ramp up production. Total financial cost for the first quarter was $75 per ton, and we anticipate this will decrease to around $70 per ton for the full year. This reflects our ongoing efforts to replace short term trade finance facilities with subsidized BNDES financing and to leverage other liability management tools available to us, as Ana mentioned earlier. One of our key advantages is the flexibility provided by our uncommitted production volumes. As Ana talked about earlier, we haven’t signed any offtake agreements to date, so 100% of our annual production, or 270,000 tons is fully available. This gives us ability to sign offtake agreements with prepayment structures if and when it makes strategic sense. That level of flexibility provides a powerful financing tool allowing us to extend our debt maturity profile by deciding how much of our production to allocate to these agreements. Finally, we put together this slide to highlight our strong cash flow performance during the quarter and our disciplined, transparent approach to operational cash generation. We started the quarter with $46 million in cash on hand, and during the quarter we received over $32 million in cash payments from customers, an increase in trade receivables of $15 million related to sales made before the quarter end but settled after the accounting cut-off. Total cash outflows for the period were $30 million, including $23 million in operational costs that is excluding SG&A and royalties. Summarizing the performance on a pro forma basis, including an increase in trade receivables, operational cash flow reached $24 million. After accounting for SG&A and other expenses, pro forma cash from operations was $17 million. If we look at the financial expenses, the amount of $12 million also includes the $10 million amount of repaid debt. All in all, this highlights our strong ability to generate steady operational cash flow while staying disciplined in how we manage and allocate capital. With that, I’ll hand it over to Ana to provide operational updates.
Ana Cabral: On this section, I’m going to give you an update on our expansion plans. On this slide, we demonstrate that we continue to make progress in our construction work for our second industrial processing plant. We have a detailed table showing the main work streams of the construction. We have completed approximately 32% of the construction by this first quarter. This chart illustrates the pace of our progress: earthworks completed, the water drainage pipelines completed. This infrastructure enables our closed water circuit, which is key. It allows Sigma to fully reuse the water that we pipe from the Jequitinhonha River, which is sewage grade, so this is our closed water circuit. Again, what we delivered as far as construction progress is this longer but less expensive portion of building, but it’s a key preparatory work for the assembly and the installation of the equipment of the industrial plant. We have been thoroughly managing the pace of our construction in order to preserve cash flow, therefore we have not yet submitted the orders for the long lead items of the plant, but we will. This next page shows that this construction is fully funded by a signed subsidized loan in agreement with BNDES, the Brazilian Development Bank. As I mentioned earlier, it has a very benign 16-year duration and an unmatched low interest rate fixed in real at approximately 2.5% a year. We have already submitted to BNDES our first reimbursement package which has over 500 invoices, so the receipt of our first disbursement tranche is still pending, and that will drive the timing for the placement of the orders for the equipment that I mentioned earlier, what we call long lead items. This next page shows how we make sense to double our production capacity. It’s going to cost just US $100 million. More importantly, the devaluation of the Brazilian real works to our favor because over 80% of our equipment is sourced locally, so building the second production plant is expected to be achieved with very low capex. It’s one of the lowest in the industry - it’s 0.40. This is lower than even the producers in Africa. What does it mean? It means that for every incremental ton of lithium oxide, we’re going to have capex of just $400 associated with it, so given our all-in sustaining cost, the payback period on the plant is very, very short, even at current lithium prices. More importantly, when we double production capacity, we become even more resilient to the lithium price cycles because we further lower our all-in sustaining costs by 20% from $660, which is the target guidance, down to $530, which is the target guidance for 2026. It’s interesting because there’s an American author called Jim Collins that we greatly admire, who is the patron of a strategic thesis called Building a Company to Last. Our strategic direction towards increasing our resilience demonstrates just that - Sigma’s leading competitive position will continue to strengthen as we expand, therefore we’re building this company to last, withstanding lithium cycles well into the future. Here, I’m going to close by thanking all of our shareholders for their trust, entrusting me with the honor to lead Sigma into build it to last.
Operator: Thank you. The floor is now open for questions. [Operator instructions]
Rock Hoffman: Hi, this is Rock Hoffman from Bank of America. My first question is, was there a conscious decision to produce 5.0% spodumene concentrate this quarter, and is there less desire in the market right now for even 5.2%? What’s a good assumption going forward?
Ana Cabral: Well, we basically--it was conscious. We have very high grades, so as we put in the reprocessing circuit into full capacity, we have the ability, which is actually a luxury, to adjust down our grades. Why is that? Because the current pricing formula for lithium concentrate, it decreases the base price linearly, but while we add the reprocessed material through the recycling, we gain mass exponentially, so it makes sense to actually--to join both circuits in the Greentech plant to add mass exponentially, which significantly lowers our costs given that we are essentially processing our existing tailings. It’s a fantastic ability technologically that we’ve gained. Now to your question, the market unfortunately doesn’t reward higher grade material properly with the appropriate premium, as it does in other established industries such as iron ore, copper, therefore we are essentially adjusting it to the best product available in the spot market, which is essentially the Australian average what’s on offer. So yes, it was a deliberate decision, and we will continue to do it.
Rock Hoffman: Understood, thank you. Just as a follow-up, I understand that much of the cost optimization that can still be achieved from where we are now is largely in industrial operations. Can you describe that a bit more, as well as on the sizing and timing for how low these costs can feasibly go?
Ana Cabral: Well, not really. We prefer not to guide the gains with scale by furthering our operating costs, either mine or plant, because we are already amongst the lowest in the industry. When one looks at the guidance we put out at year end at the previous quarter, what we showed is that with scale, we would gain the obvious economies of scale, which were halving--we would decrease by 50%, by half our SG&A because you wouldn’t need to run [indiscernible] to run a double plant, and we would lower by half our interest bill because we put in a pro forma number that would comprise the financing to build the second plant. When we highlight that our all-in sustaining costs for two plants is expected to be $530 versus the expected year-end $660 of all-in sustaining costs, this gain is solely by lowering the interest cost by scale and lowering SG&A by scale. These are the obvious gains, and we left it at that. We felt that this would be an obvious manner to benefit from scale that would be mathematically unquestioned.
Rock Hoffman: Thank you.
Operator: Our next question comes from Shannon Gill from Cormark Securities. Please Ms. Gill, your microphone is open.
Shannon Gill: Hi there Ana. Sorry if this is a repeat, as I had to miss the beginning of the call, but when are you guys planning to do your first draw on your BNDES loan, and if it’s delayed, is there some sort of plan to secure offtake or refinance some of that short term debt? Can you let us know what your financial plan is going forward?
Ana Cabral: Absolutely. Let me unpack your question. First, I’ll go backwards. The first tranche, the reimbursements have been submitted, so the ball is in their camp - that’s first, and the amount is not that high given that if you look at our capex deployed on building this portion of plant two, I mean, we did the cheapest portion of the construction for now, which is earthworks and civils. Equipment hasn’t been ordered, so I’ll park that. Then we go back to the short term debt. The repayment of short term debt makes sense with cash generation, and the decision is made on a quarterly basis depending on how much extra cash we have and depending on lithium market prices, which we don’t control. We manage our financing short term liquidity based on how much extra cash we got versus the lithium market prices, so what we just did on the first quarter. Now thirdly, your question on prepayments - yes, that’s what I tried to signal and so did Irina, by demonstrating how we still have a significant source of untapped financing, because we’ve got this far as a company without committing a single ton of lithium, so all of our available units are not tied to offtake agreements, which means we could have the flexibility, we have the flexibility to commit these units in offtake agreements, and that’s a very good question because I’d like to make another point, just to clarify for those in the audience not familiar with these agreements. They do not mean fixed prices. They do not mean that I am hedging or locking in the current very low prices into three or four-year futures - no. What it means is I am delivering secured tonnage to clients that at the moment are very concerned with the sourcing of lithium materials being ethical, traceable or not from all origins. Clients from all over the world, from Japan, China, Korea, North America, all clients are very concerned about sourcing, not just sourcing, ethically produced sourcing, moreover, and that’s how we reached the trinity. They also look at potential recipients of offtakes as companies have the ability to do so at low cost, because it means that they will prepay, they will advance me a very large sum of money and they need to make sure that we, a company doesn’t shut down or has the ability to achieve costs that are low enough to navigate this cycle. Clients cannot afford to hand out prepayments to companies that are high cost producers because they risk not getting the material in the current lithium market cycles, so it is the perfect environment, actually, to negotiation and sign offtakes because we’re low cost producers, we deliver ethical and traceable materials, we clearly can withstand the cycle, and therefore we are eligible to receive these prepayments which are given to us by the clients comfortably. Typically these agreements are signed at market prices, sometimes with a floor, sometimes with a very high cap, so floors and caps don’t detract from value and it is a win-win. Sometimes there’s none of that - sometimes it’s at market prices, but what the client wants is secure the volumes, the tonnage into the future, because everyone clearly knows that ’26, ’27, ’28, ’29 will be more balanced markets for demand and supply of lithium, and I think at this point, there’s no question the demand is extremely robust.
Shannon Gill: Okay, thanks Ana.
Ana Cabral: Thank you.
Operator: Our next question comes from Katie Lachapelle from Canaccord Genuity. Ms. Lachapelle, your microphone is open.
Katie Lachapelle: Hi Ana. I just wanted to build on Shannon Gill’s question with respect to the potential prepayment of offtake. Is there a certain percentage of your production for either phase one or phase two that you’re targeting to cover with offtakes or prepayments, and is there a particular duration as well?
Ana Cabral: Yes, there is. Again, we have flexibility. I was given flexibility by the Board to sign the offtakes that we highlighted in the presentation. How is the decision going to be made? Conditions. If we’re offered very good conditions, we’re going for it. Again, and you know that quite well but it’s a great question, because I want to further delve into this. These offtakes mean what? They mean that we get a prepayment not for all of the amount of the future sales but for a certain percentage, and then typically there’s a grace period to repay this because it’s calculated as a PMT, almost like fixed mortgage - you gain a grace period, and you gain a certain duration, and these are elements that are negotiated individually with each agreement. We gain flexibility here to use all of our production if it makes sense. Why we are saying this? Because the interest rates are typically lower in these offtakes than, one, in my current trade finance, even the longer duration one - that’s a year; two, my current long term debt, which is due 1.5 years from now, so the fact that we highlighted the ability to do prepayments demonstrates how we can do liability management using this uncommitted production. To your point, typical duration, there isn’t a typical duration but there is a minimal duration, and the minimal duration clients go for is three years. For example, we get a certain number of inbounds very focused on ’26, ’27, ’28 starting now, which means that clearly there is concern from clients on whether the volumes being offered during those years will be at low cost, will be ethically produced or not, because no one can guess future lithium prices. What we know is the demand is strong, so again clients get concerned about where can I secure these volumes for years where demand is going to be very robust from low-cost producers, ethically sourced producers. This is an interesting turn of events for the market and for Sigma. I love this question, and I want to thank everyone who asks me, because there’s another point to add to this, which is why haven’t we done that earlier? Well, because we didn’t need to. Why not? Because we stuck to budget and to schedule. Typically companies tap into this source of financing as part of the financing package to build their plants. We built first plant without using any of it, and we stuck and we were able to build it within budget, so we never needed to use it. Then as everyone knows, we entered into a strategic review, so we wouldn’t commit offtakes because there was a strategic review, and when that happens, you hit pause on everything. We did think about it at the time because it would have been the logical next step. Now here we are in a very fortunate position because we’re in 2025, demand is robust, prices are very low, we are the resilient all-in sustaining cost producer. We’ve proved that we can withstand price cycles and the outlook for demand is going to be even more robust. There’s concern about sourcing in terms of ethical, traceable sourcing or not, because of the levels of low pricing coming from rock, so we are almost in a perfect position here. This is the beauty of the moment - it’s a convergence of factors that are quite beneficial to us at this very moment.
Katie Lachapelle: Thank you Ana, very clear.
Operator: Thank you. Ladies and gentlemen, since there are no further questions, I’m returning the floor to Ms. Ana Cabral for her final remarks. Ms. Ana, you may proceed.
Ana Cabral: Well, thank you everyone for joining us on this call, and once again we want to highlight that we’re building Sigma to last. We take our strategic steps very carefully, we manage our cash very carefully. We are obsessed with cost cutting. I want to leave you with another thought - cost cutting is like clipping your nails, it’s a culture of efficiency that we have implemented at Sigma. There’s an ownership culture here where over 50% of the equity of the company is in the hands of people who actually work here, so we are partner employees just like all our you shareholders, so we care about returns, we care about everything you all care for. Again, having this job even in a low point in the price cycle, is actually an honor. It’s a real honor to lead a very super committed team like what we have at Sigma. With that, I want to close once again thanking you for giving me the honor to lead Sigma into building it to last.
Operator: This will conclude the first quarter of 2025 conference call of Sigma Lithium. For further information and details of the company, please visit the company’s website at ir.sigmalithiumresources.com. You can disconnect at this time. Thank you once again and have a wonderful day.